Operator: Greetings and welcome to the AMC Entertainment Holdings, Inc. Fourth Quarter and Full Year 2024 Earnings Webcast. At this time all participants are in listen-only mode. [Operator Instructions] As a reminder, this conference is being recorded. It's now my pleasure to turn the call over to John Merriwether, Vice President, Capital Markets and Invest Relations. Please go ahead, John.
John Merriwether : Thank you, Kevin. Good afternoon. I'd like to welcome everyone to AMC's fourth quarter and full year 2024 earnings webcast. With me this afternoon is Adam Aron, our chairman and CEO; and Sean Goodman, our Chief Financial Officer. Before I turn the webcast over to Adam, let me remind everyone that some of the comments made by management during this webcast may contain forward-looking statements that are based on management's current expectations. Numerous risks, uncertainties, and other factors may cause actual results to differ materially from those that might be expressed today. Many of these risks and uncertainties are discussed in our most recent public filings, including our most recently filed 10-K and 10-Q. Several of the factors that will determine the company's future results are beyond the ability of the company to control or predict. In light of the uncertainties inherent in any forward-looking statements, listeners are cautioned against relying on these statements. The company undertakes no obligation to revise or update any forward-looking statements, whether as a result of new information or future events. On this webcast, we may reference non-GAAP financial measures, such as adjusted EBITDA, constant currency, and free cash flow, among others. For a full reconciliation of our non-GAAP measures to GAAP results, please see our earnings release posted in the investor relations section of our website earlier today. After our prepared remarks, there will be a question-and-answer session. This afternoon's webcast is being recorded and a replay will be available in the Investor Relations section of our website at amctheatres.com later today. With that, I'll turn the call over to Adam.
Adam Aron : Thank you, John. Good afternoon, everybody. And thank you for joining us today. What a superb quarter AMC just completed, especially so in November and December of 2024, thanks to hit movies like Gladiator 2, Wicked and Moana 2, which pushed Thanksgiving patronage at AMC across the United States to the highest AMC has ever seen in our 105 year history. And Mufasa: The Lion King, along with numerous other titles, gave us results in December that were just stellar as well. AMC revenue in the fourth quarter was up 18% year-over-year, and our adjusted EBITDA of $164.8 million was more than triple. May I say that again? Our adjusted EBITDA was more than triple the adjusted EBITDA that was reported for the fourth quarter a year ago. We handily beat consensus estimates for both revenue and for adjusted EBITDA in the fourth quarter of 2024. Importantly, AMC generated more than $200 million of cash from operating activities and $114 million in free cash flow in the fourth quarter. It was our highest quarterly cash flow post-pandemic. These results underscore the continued progress that AMC has been making as we continue on a road to recovery, buttressed by a growing lineup of consumer-appealing movies opening exclusively in movie theaters. More than 62 million guests visited an AMC theater worldwide, AMC here in the United States, Odeon in Europe, and our operations in the Middle East, in the fourth quarter of 2024, marking a post-pandemic fourth quarter record for us and an impressive 20% increase in attendance compared to the fourth quarter of 2023. Complimenting this fourth quarter attendance milestone, moviegoers enthusiastically embraced the variety and quality of our food and beverage offerings, driving food and beverage revenue per patron to $7.15, an all-time fourth quarter record for AMC ever. All those quarter-over-quarter improvements are especially noteworthy given AMC's incredibly high market share and the resulting strong financial performance that AMC enjoyed in last year's fourth quarter, specifically due to our distributing Taylor Swift's The Eras Tour movie and Beyoncés Renaissance film in October, November, and December of 2023 to great acclaim. Looking at the full year of 2024, AMC welcomes some 224 million moviegoers to our theaters across the globe. And those moviegoers gravitated toward our premium experiences, to our largest screens, our best projection technologies, our most immersive sound systems, and our luxurious seating. Accordingly, we are pleased to report to you that for full year 2024, AMC achieved all time per patron result records on several key metrics, an all-time record for admissions revenue per patron, an all-time record for food and beverage revenue per patron, and an all-time record for total revenue per patron. Another crucial accomplishment during 2024 was AMC's continued successful strengthening of our balance sheet. Sean will provide more details in just a few minutes. But suffice it to say that our balance sheet is meaningfully stronger today, as a result of the significant actions that AMC took during the year to reduce our debt, to lengthen our debt maturities, and to bolster our cash reserves. 2024 was truly a year of two-halves. The first half was heavily impacted by Hollywood's long strikes of 2023, followed by a resurgent second half, driven by an increase in new releases and an overall stronger film slate. The domestic industry box office, which is kind of the basic measure of the size of our industry, which was only $3.6 billion for the first six months of 2024, soared to $5.1 billion in the second six months of 2024. Much, much stronger than the first half by orders of magnitude. The second half turnaround was certainly eventful with a number of long-standing box office records being shattered, notably in the second half, the movie industry saw the highest grossing animated film in history. It saw the most successful R-rated film of all time. It saw the highest grossing musical film adaptation of a Broadway musical of all time. And as I said earlier, we at AMC enjoyed the biggest Thanksgiving weekend box office ever. Looking at all the progress made in the latter half of 2024, it seems to us that it's clear that our industry finally is getting healthier. We're still not where we want to be. We are still not where we need to ultimately be. But real progress has been and is being made. And looking to 2025, the current year that started less than 60 days ago. At AMC, we are highly optimistic that the box office for this new current year will feel much more in-line with that of the robust revenues of the second half of 2024 as compared to the anemic revenues of the first half of 2024. Early projections indicate that the number of wide-release films in 2025 could increase by approximately 17% compared to the number of wide-release films of 2024, representing yet another significant step toward ultimately getting to pre-pandemic output levels and another cause for our optimism that the box office will materially rise in 2025. During this current new year, we anticipate the box office will strengthen with each successive quarter. Historically, Q1 has been the quietest period of the year. And this year, it's likely to be no exception to that longstanding trend, driven by seasonal consumer behavior and studio release patterns. But following Q1, we believe the box office is set to heat up, with Q2 poised to significantly outpace the first three months of this year. As we transition into the heart of the big summer movie season, Q3 looks to be a vibrant summer for movie going and, importantly to us, for AMC. And then we hope to close out 2025 big with a wave of highly anticipated franchise sequels, including the second part of Universal's highly successful Wicked, Disney's Zootopia 2, and what can you say about this film, the next installment of James Cameron's mind-bogglingly successful epic saga, Avatar. With the potential for each quarter in 2025 to build upon the last, we currently estimate that 2025 domestic industry box office could see a $0.5 billion to $1 billion dollar growth compared to 2024. And remember that given AMC's historic market share levels, about two-ninths of any heightened box office should flow straight in the direction of AMC Entertainment. With that as a preamble, and I'm going to come back a little bit more to talk about some initiatives now underway at the company and some thoughts on our recent performance in the markets, let me turn the call over to our Chief Financial Officer, Sean Goodman. Sean?
Sean Goodman : Thanks, Adam. Thanks, everyone, for joining us this afternoon. Indeed, the fourth quarter once again did prove that movie-going demand is robust when compelling content is available on the big screens. During the quarter, we welcomed 62.4 million guests to our theaters around the world. This is a post-pandemic fourth quarter record that exceeded the prior year by some 20%. And not only did we achieve an attendance record, we also achieved all-time fourth quarter record and beverage revenue per patron of $7.15. And our second highest fourth quarter admissions revenue per patron of $11.56. As a result of this, we registered fourth quarter post-pandemic records for both total admissions and total food and beverage revenue and our overall revenue grew 18.3% compared to the fourth quarter of 2023 to hit a post-pandemic fourth quarter record of $1.3 billion. Our results show that the continued focus on enhancing the guest experience, growing profit per patron, and overall operating efficiency are indeed yielding results. Our revenue per patron is now approximately 34% higher than it was in pre-pandemic 2019. This is driven primarily by growth in food and beverage revenue per patron of 51%. The success in food and beverage revenue per patron is a result of our market-leading initiatives, including collectible movie themed merchandise, specialty cocktails, menu enhancements, and mobile ordering technology. When comparing our results to the fourth quarter of 2023, it's important to note that comparisons may not really provide the full picture. This is because you may recall that in the fourth quarter of 2023, AMC distributed the highly successful concert movies, Taylor Swift’s The Eras Tour, and Renaissance, a film by Beyoncé. These concert movies had special event ticket pricing and generated higher than usual food and beverage revenue per patron associated with high demand collectible concession items. So, while the fourth quarter admissions revenue per patron declined by approximately 2.4% compared to Q4 2023, when we normalize for the impact of the concert movies, admissions revenue per patron actually increased by 3.2%. Likewise, food and beverage revenue per patron appears to be only slightly ahead of the fourth quarter of 2023. However, when we normalize for the impact of the concert movies, food and beverage revenue per patron saw an increase of approximately 2.8%. And while we are discussing the impact of last year's concept movie events, we should note that AMC recorded domestic market shares in excess of 35% for these two movies in 2023, and this makes market share comparisons somewhat difficult. Now when you couple our fourth quarter 2024 revenue records with our focus on efficiently delivering the best possible guest experience, adjusted EBITDA increases from $47.9 million in the fourth quarter of 2023 to $164.8 million this year. That's an increase of more than 240%. And these results were achieved in both the domestic business, where adjusted EBITDA more than tripled to $123 million, and the international business, where adjusted EBITDA increased more than fourfold to $41.8 million. These results are a clear indication of the operating leverage inherent in our business. Revenue increased by 18.3%. This led to an adjusted EBITDA increase of 244%. This operating leverage is another reason to be optimistic about AMC future, as our industry continues along a recovery trajectory. Okay, let's now move to a discussion about cash flow and the balance sheet. A highlight of this quarter is cash flow. We generated $203.6 million of cash from operating activities and $113.9 million in free cash flow. These are our very best cash flow numbers since the fourth quarter of 2019. And we ended the quarter with cash and cash equivalents of $632.3 million. It is worth noting that historically we generate cash from working capital during the second and fourth quarters and we tend to use cash from working capital during the first and third quarters. This pattern will of course depend on the timing of film releases and the pattern of audience attendance, during holiday periods. But during the fourth quarter, we benefited from strong cash generated from working capital that we expect will largely reverse in the first quarter of 2025, when many payments related to the successful fourth quarter are made. Talking about cash flow, CapEx net of landlord contributions was $83.9 million in the fourth quarter and this brings the total net CapEx spend to $213.7 million for the full year 2024. We expect CapEx in 2025 to be in the range of $175 million to $225 million. From a theater footprint perspective, during the fourth quarter, we added another one new high-performing theater, and we permanently closed three underperforming locations. So this brings the total number of locations permanently closed since the pandemic began to 192, and the total new locations opened to 62. So this represents a net reduction of 130 locations or approximately 13% of our locations at December 31, 2019. And we continue to see that the 62 new locations very significantly outperform the 192 closed locations. Going forward, as we review and rationalize the theatre portfolio at every opportunity, we will continue to invest in our circuit to enhance the guest experience. Note that the deferred rent balance at the end of 2024 was approximately $37.6 million, and we plan to reduce this balance by another approximately $8 million during 2025. From a capital markets perspective, we were once again active during Q4, continuing to strengthen our balance sheet to position the company for sustainable long-term success. During the course of 2024, we have reduced the principal balance of our debt and finance leases by $375.9 million. We have extended the maturity of approximately $2.4 billion of debt that was due in 2026 to 2029 and beyond. We've raised approximately $262 million of gross proceeds from the sale of our Class A common stock. And in addition, last month, January, we received $171.7 million as initial cash proceeds associated with the establishment of forward positions for 30 million shares of our common stock plus aftermarket offerings of 17.1 million shares. Strengthening the balance sheet is a priority and since the beginning of 2022, we have lowered the principal value of our debt and finance leases by more than $1 billion and we've also repaid $277.5 million of deferred leases. This brings the total debt that we've reduced over the period to $1.34 billion. These actions have been made possible by our ability to raise equity capital, which has been essential to our survival and has undeniably strengthened our balance sheet and positioned the company to capitalize on future growth opportunities as the firm exhibition industry recovers. The outlook for the industry box office in 2025 and 2026 appears to be increasingly promising and we are confident that the strategic and operational actions that we have taken and will continue to take position us very well for the future. And now I'll hand the webcast back over to Adam.
Adam Aron : Thank you, Sean. On our last quarter's call, we introduced the notion that after four grueling post-pandemic years, it was finally time for AMC to get off our heels defensively and instead to play on offense once again. So on this call, I want to give you an update of the activity already underway for AMC to go on offense. Specifically, AMC's GO plan, GO, go on offense, set in motion a series of initiatives designed to leverage our strengths and accelerate our recovery. Aligning with our expectations for a rising and more consistent box office over the next several years to come, it makes sense to try to grow your revenues when revenues are in fact growing. With a central theme of improving the guest experience inside our theaters, the AMC GO Plan is multi-dimensional and designed to drive additional profitable attendance to our theaters, to AMC in the US and Odeon Abroad. With our industry leading per patron metrics, which as you know hit record levels in 2024, what's so important about this drive to increase and bolster our attendance is that every incremental guest in our theaters is not only valued, but it drives a huge percentage of their incremental revenue down to the EBITDA line. As more capital becomes available to AMC to invest in growth initiatives, one key aspect of the AMC GO Plan is to add more premium experiences, capitalizing on the fact that AMC today is already, without question, the global leader in offering premium large format screens. I can say to you today that in calendar year 2025, and again in calendar year 2026, we currently expect to upgrade more of our IMAX auditoriums to the very popular IMAX with Laser. We intend to add more Dolby Cinema screens. We intend to add more prime at AMC screens, our so-called house brand PLF format. We also intend to bring our successful XL or Extra Large screen concepts that was launched in Europe last year to the United States. We would hope to introduce between 50 and 100 XL screens in the United States this year and add another 150 XL screens in addition in 2026. Our rolled out of laser at AMC screens with their brighter and sharper picture on the screen, resulting from laser projection, continues at pace. It has already been installed in about one-third of our US screens. And we will be adding a great number more of laser projections to AMC theaters, both in 2025 and in 2026. Another part of the AMC GO Plan is to improve the seating comfort and appeal at more of our theaters, especially at ones that are already quite profitable and well attended. Recent luxurious seat replacements at AMC Burbank 16 in Los Angeles, along with AMC Lincoln Square 13, and AMC Empire 25 in Manhattan, have led to dramatically improved guests satisfaction scores and importantly for us high theater gross seats. In fact just a couple of weeks ago on a Saturday night out of the 550th theaters in the entire United States under the AMC brand, our three highest grossing theaters were Burbank, Lincoln Square, and Empire, the very three theaters where we installed this new luxurious leathery seat that's wider, that has more padding, that rocks, and in many cases has more legroom. Knowing that this has been a successful initiative to date, we've already identified several handfuls of important theaters, theaters that are profitable and well-attended, that should produce even higher financial returns for AMC if we can introduce this new C-type in those locations. We aim to deploy here again as soon as growth capital becomes available to us such that we can invest to upgrade these theaters. Additionally, with respect to AMC's GO Plan, it also includes our focusing on several exciting new innovations in our loyalty, subscription, and other marketing programs. To that end, on January 1, just several weeks ago, AMC launched our fourth and newest AMC Stubs Loyalty Program tier called Premier Go. It offers heightened program benefits. It is free. And this loyalty tier is designed specifically to incentivize our current AMC Stubs Insider Tier members who also enjoy free memberships to patronize AMC more, to buy more movie tickets in our theaters and buy more food and beverage at our theaters. Premiere GO! status is earned when a consumer sees at least 8 movies at AMC in a year or earns at least 5,000 AMC Stubs points in a calendar year. We started on January 1, 2025, with more than 300,000 moviegoers already enrolled in the Premier GO! tier as members because we based their membership on their purchase history with AMC last year in 2024. We have also announced that we will be enhancing other benefits for our AMC Stubs members, especially those in our A-List program. In this case, we intend to give more value to our most avid moviegoers. Moviegoers who average somewhere between 24 and 32 visits per year at AMC theaters in the United States. How are we improving A-List? First, we have increased the weekly movie limit for A-List members. They can now watch up to four movies per week, up from the current three, when the new A-list innovations take effect on May 7. Second, to encourage more family movie going, we will be lowering the minimum age to sign up for A-List from the current 16 to 13. Why did we pick 16 previously? Because to prevent fraud, we needed a state-issued ID, which takes us to the third improvement to A-List. To make A-List membership verification easier and faster at our theaters, A-Listers, beginning May 7, will be able to upload their own photos to their AMC Stubs profile and use this in-app photo of themselves, the members, in lieu of having to show a state issued ID. That's true with children as well as adults, so we can lower the age to 13, and we think more parents are going to cause more of their children to sign up in the program. In addition, on A-List, we have already announced that in May we will launch a wholly new AMC A-List Classic program, a subscription program that provides for the watching of one movie a week, not four movies a week or three, but one movie a week and not [good at] (ph) all of our theaters, only at our AMC Classic theaters. But in doing so with these limitations, we have the opportunity to offer this AMC Classic tier at a significantly reduced monthly subscription price. A-List continues to be one of the most successful programs that AMC has ever introduced. And we think it will get better still with these changes coming soon. We have much more in store for our movie-going guests in the guise of more marketing programs designed to stimulate attendance, but we're not ready to announce them yet today. So look for more important marketing initiative announcements coming from AMC to be publicly announced in the coming months. For all the talk about pursuing growth initiatives, because in so doing we can drive increased financial returns and boost the value of the company for the benefit of our shareholders, I think it's imperative that I add that it is also of paramount importance to AMC, and nothing has changed, that continuing to focus on strengthening the balance sheet to reduce our debt, to lengthen maturities, to keep our cash reserves robust remains an extremely important objective for this company. The fact that we strengthened our balance sheet over the past several years is why we are still here, and we will not take our eye off the ball. At the same time we also believe there's enormous opportunity to grow our EBITDA, to improve our financial returns, to benefit our shareholders if and as when we have access to more growth capital. That pretty much concludes the comments about the fourth quarter and some of the activity underway, as a company. But before I close this call and move to questions, I'd like to close with just a special message to our retail shareholders, many of whom, thousands of whom, will be listening to this webcast. I want you to know that what I've said to you for years now remains true. Every day I continue to actively read your social media commentary, as it gives me a great sense of your views and lets me read the room, so to speak. Sadly, there's so much false information floating around AMC on social media. Similarly, there are crackpot conspiracy theorists, like one after another, that seem to delight in speaking foolishly about AMC. So from the horse's mouth, here's some straight talk. Please know that I am acutely aware of AMC share price decline over the past three years, and I am acutely aware of the pain that is caused for many of you. I am, after all, myself, I believe the largest single individual AMC shareholder. I've been increasing my share position since 2021. And I am, after all, or was it [January 2022] (ph)? Was it my last sale? I forget. January 2021? January 2022. January 2022. I think it was 3 years ago. It was 3 years ago, right. Yeah, 3 years ago. I haven't sold a share in 3 years. Instead, I've increased my share position, and therefore, a share price decline that hurts you, hurts me too. My interests are completely and directly aligned with yours. They are not aligned with anyone else other than you and that is exactly as it should be. So think about all that I'm seeing what you write and say. Here are two key thoughts. First, do not allow yourself to be distracted. Our biggest problem is not various market practices that some of you seem to detest. Instead, quite simply, it's that the movie industry and the movie theater industry has been in crisis for more than four long years. Domestic industry-wide movie theater attendance, believe it or not, is still down almost 40% from full year 2019 levels. That is a fact. And the fact that attendance is down means our ticket revenues will be stressed. The fact that attendance is down means that we will be able to sell food and drink and merchandise to fewer people. That is the problem at AMC. But I tell you that not as a bearer of bad news, but as a harbinger of good news to come. Because fortunately, as we have implemented one new idea after another, and as we have made our company more efficient over the past several years, AMC's profit per patron numbers are way, way up. We often see our profit per patron being as much as 50% higher than it was in pre-pandemic levels. So what that means is that for success, AMC does need the box office to be higher than it was in 2024, but we really do not need it to climb all the way back up to 2019 levels. And even more fortunately than that, the box office finally looks to be growing significantly and materially again. We are absolutely convinced, based on our expertise and our knowledge of what's coming, that the box office, industry-wide box office in 2025 will be bigger than 2024, and that the box office in 2026, will be bigger than that of 2025. But of course, no one has a perfect crystal ball. That's our view, that's our belief as of today. Only time will tell. The second thought I wanted to share is that some of you rail about the dilution of our stock, or with the perfect hindsight that comes from being able to Monday morning quarterback, the timing of the sale of our stock. Please know that we have only raised capital if the company truly and absolutely needed that cash to be in the drawer. Remember that many of our competitors, both big ones and small ones, both the most important ones and the most unimportant ones, so many movie theater chains have been forced into bankruptcy in the last 4 years because they ran out of cash. Not AMC. I repeat, not AMC. We stayed strong, we stayed alive, we stayed healthy, we stayed on a path towards recovery because of the actions that we took to bring cash in the door. Having said that though, here is a pledge that I am making to you today. There will be no more cash raised from the sale of common stock in calendar year 2025 unless we first take that matter of authorizing more common shares to you, our shareholders, for you to vote and help us make such a decision. In summary, the entire team at AMC is absolutely committed to do all that we can to grow our revenues and to grow our adjusted EBITDA. We are constantly striving to enhance the value of our business, which after all is your company. AMC is the acknowledged leader of this industry. We have kept AMC alive and relatively strong in very troubled times, and we will continue to do everything humanly possible to keep AMC moving forward. And to that end, we just delivered one hell of a fourth quarter of 2024. Sean, let's move to questions both from our securities analysts and from our retail shareholders.
Operator: Thank you. We're now conducting a question-and-answer session. [Operator Instructions] Our first question is coming from Chad Beynon from Macquarie. Your line is now live.
Unidentified Analyst: John for Chad. Thanks for taking our question. So on the AMC GO Plan, if the number of wide release films and the box office growth materializes as you expect, is that when CapEx will rise to the $375 million or so annual level implied by the high end of the CapEx range? Or is there anything else you can share in terms of further visibility for the magnitude or cadence of the CapEx deployment? Thank you.
Adam Aron: I'm happy to respond, Chad. Our CapEx budget is going to stay around $200 million plus or minus a little change, until such time as we have access to growth capital. How we have access to growth capital is something that we are sorting through right now. There are a number of really creative ideas in place inside the company where we might be able to get third parties to finance some of our growth. There are other opportunities that are so obvious. The growth, the returns on some of these growth initiatives is so high that we'd love to be able to convince people to trust us with more growth capital. But until we have access to growth capital, we're going to keep CapEx tightly constrained. The time will come when we can grow it, but you'll know it way in advance. We will flag it in advance. We're not going to surprise you with big CapEx expenditures without having told you prior to doing so.
Chad Beynon: Understood, appreciate that. As a quick follow-up, you know, IMAX recently announced a deal for the movie Narnia to have an exclusive theatrical run, and I think this is a film that otherwise would have gone directly to streaming. So just curious to hear your thoughts and your views on the potential for more deals like this to come through and how you see the dynamic between streaming and theaters evolving from here. Thanks.
Adam Aron: So there are streamers and then there are streamers. There are some streamers who have actively embraced theatrical releases. Apple and Amazon come to mind. And we've had superb meetings and conversations with both Apple and Amazon. We're highly encouraged, for example, that Amazon, which is a combination of Amazon and the old MGM. Now, just about a week or two ago, that they were staffing up and boosting their distribution personnel with significant numbers because they would like to dramatically increase the number of films that Amazon is releasing. Doubling even potentially tripling, or not quite tripling, but more than doubling the potential releases coming out of the Amazon Sphere. Similarly, Apple is so excited about the movie F1, which is coming out in June, which they're hopeful and we're hopeful is going to be a major blockbuster, gangbuster hit. It's directed by Joe Kosinski, the director of Top Gun: Maverick. I believe it stars Brad Pitt. Apple is behind it completely. Being distributed in the US by Warner Brothers is behind it completely. AMC is behind it completely. So the notion that some of these streaming services might actually embrace the app releases is something that's quite exciting to us. I think that one of the, as the industry experimented with all sorts of different release patterns post-COVID, a general consensus has emerged in Hollywood, not by all, but by most, that the most successful movies on streaming platforms are those that go to theaters first. And those movies that have a great theatrical release often wind up being the most watched movies on streaming services. Not all, you notice that there is another major streaming service that I talked about, that I did not talk about yet, that is not as enthusiastically embracing theaters, that being Netflix. But we continue to reach out to Netflix, and right now Narnia is scheduled to play on AMC's IMAX screens. We would love to be able to convince Netflix that they're embracing theatrical releases is good for them. They did it with Glass Onion. They are doing it with Narnia. We'll see where this goes. Narnia is still two years away. But having said all that, I have always believed that the world is of the consumer's appetite for entertainment, amusement, and [indiscernible] that it can support both the robust theatrical industry and a robust streaming industry side by side.
Unidentified Analyst: That's perfect. Thanks, Adam, and congrats on a great quarter.
Operator: Thank you. I'll turn the call over to management for retail investor questions at this time.
Sean Goodman: Thank you. So the first question that we have is about our merchandise and movie themed collectible items and how that is going and if we can give the investors an update on that.
Adam Aron: Thank you, Sean. One of the things I said in my prepared remarks was that AMC has been implementing one new idea after another. And you know, not all ideas work, but a lot of them have. And one of them clearly has worked and worked unbelievably well is movie-themed Merchandise. Three years ago, it's working by the way, not only in the United States, but also in Europe. Three years ago, we didn't sell any movie themed merchandise in our theaters, None, none. In calendar year 2024, we sold about $65 million of movie themed merchandise from nothing three years earlier. And the profit margin on this movie themed merchandise, not exactly, but it's in the neighborhood of 50%. These are good margins. As they were great margins as they were if you were in Shark Tank, these are really good margins and we're selling a lot of merchandise and one of my goals for 2025 is to see what we can't do to significantly increase our merchandise sales for the fourth year in a row. And it should actually be easier to accomplish than it may sound because, number one, we've been increasing the number of movies that we do this movie themed merchandise for. It started out that we were only doing a handful of these a year. And now seemingly every couple of weeks, we have a new movie themed product coming out. But people didn't want to get stuck with excess inventory. So especially in the early phase of this merchandise ordering, you've got to buy the merchandise from where it's manufactured, like nine months before the movie comes out. So we would place orders for merchandise and then have to get it to hundreds and hundreds of retail locations around the country. And there was no ability to increase the supply of fast selling items. Whatever you ordered nine months before, once it sold out, you were sold out. We were finding ourselves in 2024 often selling out on Friday or Saturday of opening weekend of everything that we'd ordered for a movie. And when I say everything, I don't mean small quantities. I mean quantities in the hundreds of thousands of items. And so one of the things that we've decided to do for 2025 is to increase the quantity of the merchandise that we order in advance so that we have more supply in our theaters so that we don't sell out on Friday or Saturday, that maybe we have supply through Sunday or maybe we have supply through the second weekend. But I do believe that our ability to continue to drive our merchandise business is one where we ought to be able to succeed handling.
Sean Goodman: And talking about --.
Adam Aron: Before you go on this one, and your question is on movie-themed merchandising, but talking about movie themes, we also have movie themed drinks now in our bars. And just like we have more, and we used to have a few a year, but just like we have more and more movie themed merchandise in our theaters, we now have more and more movie-themed drinks. And often, they're our most successful item at the bar. And so we're also looking at ways, including new beverage pouring technologies, where we can increase the number of movie-themed drinks that we have available, because people clearly are buying them. And remember how important food and beverage numbers are to us. Our food and beverage numbers for the fourth quarter were the highest they've ever been in AMC's 105-year history. So this notion of being creative and imaginative and innovative in what we sell to our guests in our theaters is of crucial importance because it drives increased profitability.
Sean Goodman: And talking about food and ancillary revenue, there's a question about popcorn.
Adam Aron: Popcorn. So I'm going to say I'm so proud of what we've done in taking what's called AMC Perfectly Popcorn into the home. This started only not even two years ago, 22 months ago I believe, when we launched AMC Perfectly Popcorn at 2,600 I think, close to it, plus or minus 100 Walmart locations in the United States for our ready to eat popcorn and about 500 Walmart locations for our microwavable popcorn. Believe it or not, as a movie theater company, we have chefs, both for our dining theaters and even for our concession stands. And our chefs worked extremely hard and almost for a year developing the recipe for the home popcorn line so that it would taste like theatrical popcorn that you get in our theaters if you made it yourself at home, or ate it yourself at home, and they succeeded. Fast forward 24 months. In calendar year 2024, our popcorn sales doubled compared to 2023. What's more, the distribution of our store counts greatly increased. In 2024, We added Kroger and Publix and Meyer. For 2025, we've added what's called Associated Grocers, which wholesales food products to regional and local markets and smaller chains around the country. As a result of all that, our Home Popcorn line, which launched in, in round numbers, 2,500 stores just 2 years ago, by the end of next month will be in 11,000 retail stores in the United States. And I'm especially pleased, Walmart is such an important player in the grocery space. And I'm just so, so pleased that Walmart informed us a couple of months back that they were going to more than quintuple the number of Walmart stores carrying our microwavable popcorn line. So I think we went from 500 Walmart stores carrying the microwavable line to 2,700 by the end of April. This is all quite encouraging. It's very hard to launch a consumer product in the United States and do so profitably. And I believe where we are now is cumulatively, our Perfectly Popcorn line cumulatively is profitable and currently profitable. And we are highly confident that it will continue to grow in sales, as we go forward. We've already established we're one of the best sellers in the popcorn category. And by the way, we just launched a new flavor, Cinnamon Butter. For those of you who like it, slightly sweet. Anyway, I think popcorn's been a smashing success and more to come.
Sean Goodman: Question about our Studio Partners and Windows. Do you see any opportunities to negotiate longer Windows for theatrical movie releases and how might that impact the business?
Adam Aron: I sure hope that we can introduce longer windows because I think that the current industry experiment on windows has failed. Just a little history for those of you who don't know. Prior to COVID, in the United States, it varies by country outside the United States, but in the United States, movies typically did not get to the home until 74 days after initial theatrical release. The industry [can set out] (ph) then COVID came and everybody experimented with all sorts of everything. Movies were going to the home, the same day they were being taken to the theaters. They were being taken at all sorts of different dates. Big movies, maybe a little slower, but not so big movies, going to the home faster. The end result of all of that, and it's not all because of windows, but if you look at our industry's attendance across the entire industry, it's still 40% below pre-pandemic levels, not quite 40%. The last number I saw was 38%. It's still almost 40% below pre-pandemic levels. That has stressed the EBITDA generation of theaters, that has stressed the profitability of theaters, that has stressed the share prices of theaters, and that's a problem for theaters. Now, I said Windows was not the only problem. There were other issues, including that Hollywood was releasing fewer titles. That appears to be changing. Hollywood is releasing more titles. But as the industry experimented with a whole bunch of variety of options. What the industry coalesced around was that the old 74 day window would become a 45 day window. So the movies would go to the home about six weeks or seven weeks after they hit theaters, not 10 or 11 weeks after they hit theaters. And some movies have gone to the home even quicker, 30 days and 17 days. In our view, 17 days and 30 days are too short. And we would like to convince all the major studios that they should keep movies in theaters longer. And this is a conversation that is front and center live. I was in the office of the CEO of one of the major five studios just two weeks ago. And he told me how important it was to reestablish the 45 day window as being sacrosanct. I was with the President of Distribution of another major studio, one of the very largest, one of the most important, who was bragging to me that whereas other studios were keeping their movies in theaters only 45 days before going to the home, that -- that studio was taking their big movies to the home only 60 days after the movies were released theatrically. So these conversations are live right now between theater chains and studios. We believe that theater chains would generate more money if windows were longer, but we also believe that studios would generate more money if windows were longer. Why? Because they would gross more in theaters, and the more successful the run in theaters, the more successful a run they're going to have when they finally take movies to the home. So watch this space. We'll continue to see what we can do to convince the industry that it should be firm around this 45-day number and once we get there maybe we can extend it to 60 days or 74 days like it was pre-pandemic. We will all learn together, but this is a very live industry debate topic right now.
Sean Goodman: Thanks, Adam. And I think we've got time just for one more question here, which is very related to what you were just talking about. When you think about the box office, how are you thinking about when the industry might reach more of a steady state level and return closer to pre-pandemic [top-of-the-line] (ph)?
Adam Aron: So to take you all back in time. Prior to the pandemic, for 5 years in a row, the industry box office was between $11 billion and $12 billion. This is the so-called domestic industry box office. This is all theaters, all movie theater companies, all chains, all locations in the United States and Canada, the basic measure of our industry. For five years in a row, it's been $11 billion and $12 billion. For 11 years in a row, it's been $10 billion and $12 billion. COVID comes, it's $2 billion. That was 2020. Then in 2021, it was $4.5 billion. Then in 2022, it was $7.5 billion. Then in 2023, if you exclude the Taylor Swift and Beyonce movies, which we sort of created out of thin air at the last second, which did not come from a studio and were not expected to be movies and theaters, The industry box office was like [$8.7 billion or $8.8 billion] (ph) in 2023 and it was $8.75 billion in 2024. So the box office was flat. It had been high for a decade, went to next to nothing with COVID. It started rising again. It flattened out in 2023 and 2024. Why did it flatten out in 2024? Because of 5 months of actors and writers strikes that crippled production of movies and decreased the number of film releases in the first five months of 2024. But that's the past. Let's look at the future. I said in my prepared remarks, we think the number of wide-release films is going to increase in 2025 or 2024. We have studiously looked at this movie theater slate of the titles that are coming up. And it's one blockbuster film after another blockbuster film after another blockbuster film, after another blockbuster film. We really do believe, and as I said, nobody's crystal ball is perfect, but we really do believe that the box office will be in 2025, will be somewhere between $0.5 billion and $1 billion more in 2025 than it was in 2024. And we looked at the movie Slate in 2026, and it also was wonderful. So we think that the box office in 2026 is going to be bigger again than it was in 2025. So honestly, I hope that the movie theater industry box office does not peak and go to a quote steady state. What I'm seeing is that the industry box office is actually growing and growing significantly. It's growing, it's going to grow big in 2025 over 2024, we hope. It don't, nothing is -- it's only February. We'll all find out by the end of the year. But we're pretty sure that the box office will be a lot bigger in 2025 than it is in 2024, a lot bigger in 2026 and 2025. I would hope that it's bigger in 2027 than it is still in 2026. Success breeds success. The more movie going there is, the more profitable movies are. The more profitable movies are, the more that studios will want to make more movies. The more movies that studios make, the bigger the box office becomes. So there you go. That's the circular loop on the road to recovery.
Sean Goodman: And I think that's all the questions we have time for today.
Adam Aron: So everybody, thank you very much. We had a very good quarter. The year, 2024, was very good. If you only look at the second 6 months of the year. But the second 6 months of the year looks to us to be a harbinger of what's coming in 2025 and again in 2026. So I have one simple request. I don't know what you're doing this weekend, but why don't you go to a movie theater and go catch a movie? And when you do, we'd be happy to welcome you at AMC. Or if you're in Europe, Odeon. Or if you're in the Middle East, AMC Cinemas. Thank you, everybody, for listening. Thank you for joining us today.
Operator: Thank you. That does conclude today's teleconference and webcast. You may disconnect your line at this time and have a wonderful day. We thank you for your participation today.